Operator: Greetings and welcome to the Adamas Pharmaceuticals Second Quarter 2021 Financial Results and Corporate Update Conference Call. At this time all participates are in a listen-only mode.  I would now like to turn the call over to Peter Vozzo, Investor Relations representative for Adamas Pharmaceuticals. Please go ahead sir.
Peter Vozzo: Thank you, Michelle, and good afternoon, everyone. On the call with me today are Neil McFarlane, Chief Executive Officer; Vijay Shreedhar, Chief Commercial Officer; and Chris Prentiss, Chief Financial Officer. We also have Dr. Adrian Quartel, Chief Medical Officer available to answer questions during the Q&A. Before we begin, I would like to remind everyone that this call will contain forward-looking statements, which are subject to risks and uncertainties. Any these statements regarding future events, results or expectations are forward-looking statements. Please note that these forward-looking statements reflect our opinions only as of the date of this call. We undertake no obligation to revise or update these forward-looking statements in light of new information or future events, except as required by law. Information concerning factors that could cause actual results to differ materially from those contained in or implied by such forward-looking statements are discussed in greater detail in our Form 10-Q filed today with the SEC, especially under the caption Risk Factors. I’ll now turn the call over to Neil McFarlane.
Neil McFarlane: Thank you, Peter. Good afternoon, everyone. Thanks for joining us today. I will provide an overview of the second quarter and on our progress executed our growth strategy. And Vijay and Chris will give more details on our performance. Let me first say how proud I am of our continued growth, which is a true testament to the team's resilience and their commitment to making everyday life significantly better for people affected by neurological diseases. While we are encouraged by this growth, we are keenly aware that the broader environment remains challenging for the healthcare community as the pandemic continues. I'm very pleased how our team is adapting to this fluid situation. And I believe our strong demand and revenue growth in 2020, along with our performance in the first half of this year, demonstrate our ability to thrive in a constantly changing market. Regarding the second quarter, I'm pleased with the revenue growth from GOCOVRI and OSMOLEX ER as well as the royalties earned from NAMZARIC, this growth along with our disciplined investment brought our quarterly net operating cash burn down to single-digits at $9.2 million. We remained focused on GOCOVRI and are expanding the number of prescribing physicians and increase the number of patients on therapy. We're also seeing positive trends in the launch of our second indication for OFF episodes. Most notably, I'm encouraged by the significant increase in new paid prescriptions, or NRx in the second quarter, the highest level since we began reporting this metric, and a key leading indicator of future growth. This is our first full quarter of the OFF launch. And while early the increase in new patients coupled with strong 12-month patient persistence gives us confidence that the expanded label has the potential to meaningfully grow the market opportunity for GOCOVRI. The focus on our messaging to people with Parkinson's and their healthcare providers revolves around the goal of treatment, which is to have as much good on-time as possible. GOCOVRI has demonstrated the ability to meaningfully increase good on-time in the pivotal studies and is the first and only medication approved to treat dyskinesia if Parkinson's patients receiving levodopa for based therapy and OFF episodes as adjunctive treatment to levodopa/carbidopa. Additionally, it's nighttime dosing provides continuous coverage throughout the day, while minimizing sleep disturbance. The unique ability of GOCOVRI to decrease both ends of the motor complications spectrum allows physicians treating patients along the continuum of care instead of trading increased of-time for reduced dyskinesia or vice versa. To achieve this paradigm shift in treatment, we are keenly focused on delivering comprehensive stakeholder education across the Parkinson's community regarding GOCOVRI’s differentiated profile and novel attributes. As part of this effort, recent publications in peer reviewed journals include new data analyses, suggesting that GOCOVRI may meaningfully reduce the impact of motor symptoms on activities of daily-living and the review article by leading neurologist supporting GOCOVRI as a clinically significant advance in treating motor complications. To support the growth of GOCOVRI, we further bolstered our supply chain with the supplemental NDA approval of a second and alternative packager. We also announced two new patents for GOCOVRI that covered the drug product and methods of use. These patents are the first issued in this patent-family and strengthen our long-term patent portfolio now going out to 2038. Additionally, we recently received our first international patent covering ADS-4101, our investigational drug candidate in epilepsy. This patent issued in Japan follows to recently issued U.S. patents, and we believe will assist us as we continue our efforts to partner for out licenses program. In summary, we entered 2021 with a clear operational plan to drive growth, first by advancing our neurology portfolio. Second, by strengthening the foundation of our business. And third, by leveraging our fully integrated infrastructure. We have made substantial progress against all three of these objectives, and the first six months of the year reflects our solid execution. I'll now turn the call over to Vijay to review our commercial progress.
Vijay Shreedhar: Thank you, Neil and good afternoon, everyone. I will begin my comments with highlights of our GOCOVRI performance in Q2 and provide an update on OSMOLEX ER. Starting with performance, Q2 total GOCOVRI paid prescriptions or TRx excluding product from the free trial program grew to 9,400 a 19% year-over-year increase versus Q2 of 2020 with 8% sequential growth versus the prior quarter. We saw 97% growth in new paid prescriptions or NRx versus Q2 last year and a 24% increase versus the previous quarter with a total of 730 NRx 12-month patient persistence remained strong at 45% to 50%. We are pleased with this performance with three key reasons. These are the strong quarter-over-quarter NRx demand growth, the year-over-year trends suggesting patients returning to clinics and the early positive signs from the launch of OFF indication. Let me give more detail around each of these. The robust quarter-over-quarter growth the numbers of new patients coming after the strong NRx results we reported in Q1 highlights the demand momentum for GOCOVRI. In the quarter, we saw an increase in our breadth of prescribers, as well as an increase in depth of prescriptions per physician. We believe these results reflect the consistent execution of our commercial strategy to raise urgency to treat, to differentiate GOCOVRI and to enhance the customer experience. Upon approval of the OFF indication, we revised our speaker program content to further differentiate the GOCOVRI clinical story. And in Q2, we executed a mix of live and virtual speaker programs with this updated content, continuing to broaden our outreach to prescribers and patients. To further enhance our patient education during Parkinson's awareness month, we launched a direct-to-patient segment on lifetime access TV. This featured a GOCOVRI patient, their care partner and a health care professional discussing the impact of often dyskinesia on daily life and the benefits they have seen with GOCOVRI treatment. The segment with the potential reach of 83 million viewers contributed to a 20% increase in patient engagement and a 200% increase in physician engagement in our digital content. It has since been distributed through our multimedia platform. Our sales force maintained live interactions with prescribers wherever possible, educating them on the differentiated clinical profile for GOCOVRI. And we continue to explore new ways to allow our field team to be even more effective. As an example, we are piloting a program to rapidly determine the access to health care centers, and to facilitate appointments to increase the proportion of live calls to prescribers. We further optimized or GOCOVRI on-board services resulting in a higher level of customer satisfaction and expanded our GOCOVRI care coordinator team to meet the demand increase that we have seen. The strong year-over-year growth in demand was aided by the gradual return of patients to in person appointments at clinics. We also saw some increase in sales rep access to offices highlighting a slow return to normalcy. However, we remain in a fluid situation, as has become clear in recent weeks. The sustained impact that the pandemic is having on treatment of Parkinson's patients was reflected in a 17% year-over-year decline in patient claims data for levodopa/carbidopa in the latest three months, February through April versus the same period a year ago. This suggests the number of Parkinson's patients receiving care has still not returned to pre-pandemic levels. And our strong Q2 performance is remarkable given this headwind. Finally, we are pleased that our launch of the OFF indication continues to show positive signs in the first full quarter since approval. We have seen an increase in demand with prescriptions for GOCOVRI and are particularly encouraged that we see patients with OFF dyskinesia or both all being prescribed the drug. This indicates that our differentiated clinical profile is resonating. GOCOVRI is the first and only product indicated both for the treatment of OFF episodes and dyskinesia, thereby increasing good on time. This unique differentiation helps prescribers avoid compromises when managing the two extremes of motor complications in their Parkinson's patients. We have seen several physicians who prescribe GOCOVRI early in the dyskinesia launch, but then last returned to the product with a new OFF indication. Additionally, we're pleased with the 93% payer approval rate through the prior authorization process, which indicates patients are getting access to GOCOVRI regardless of formulary status. Our conversations with payers continue with a focus on ensuring easy and affordable access to GOCOVRI through the selective articulation of the clinical and health economic value of the product. The larger addressable patient population and the increased momentum we have seen from the OFF launch give us confidence in the growth prospects for GOCOVRI, while we continue to pursue broad access in a fiscally prudent manner. The momentum in Q2 gives us optimism that communicating the differentiated clinical profile of GOCOVRI systematically throughout the neurology community will trigger a paradigm shift in the treatment of Parkinson's motor complications, from symptomatic treatment OFF or dyskinesia to comprehensively addressing both ends of the motor complications spectrum. While growing GOCOVRI is our primary focus, we also execute it against our two goals for OSMOLEX ER. First, to ensure current patients on drug receive uninterrupted care. And second to advance the gated investment plan to launch OSMOLEX ER into the psychiatry market for patients with the labeled indication in drug induced extrapyramidal reactions. Towards the first goal, we provided ongoing support to current prescribers and realized operational efficiencies. As for the second goal, we are actively promoting the product into the EPR market using our tele detailed team. Q2 results were in line with q1 and influenced by two factors, pre-acquisition inventory build normalizing in Q2 and the conversion of those on patient assistance programs into paid prescriptions. Q2 continue to present a challenging situation in the marketplace. And we are incredibly proud of our team for remaining focused on our mission to serve patients. I will now turn it over to Chris to provide an overview of our financial performance.
Chris Prentiss: Thanks Vijay and good afternoon, everyone. Please refer to our press release issued earlier today for a summary of our financial results for the second quarter of 2021. Total revenues for the second quarter 2021 were $22 million, which includes GOCOVRI product sales of $20.1 million OSMOLEX ER product sales of 500,000 and royalty revenue earned from NAMZARIC of approximately $1.4 million. Product sales of GOCOVRI in the second quarter, increased 12% in quarter last year, primarily driven by volume growth and partially offset by higher gross to net discounts. Gross to net for the quarter was in line with the guidance range we previously provided, we expect gross to net adjustments for the second half of the year to decline to the low to mid-teens, driven primarily by patients moving through the Medicare Part D coverage gap. R&D expenses for the second quarter 2021 are $1.4 million compared to $2.6 million for the prior year quarter, primarily due to the completion of the ADS-5102 multiple sclerosis open label extension trial. We'd like to thank everyone who worked on this well executed development program, and especially those who participated in our trials. We plan to publish our clinical trial data which we hope will benefit the MS community. Second quarter 2021 SG&A expenses were $29.2 million, compared to $23.2 million in the prior year quarter. SG&A expenses for the current quarter represent the execution of our GOCOVRI commercialization strategy, as well as our education efforts positioning OSMOLEX ER for drug induced EPR. We are maintaining our 2021 operating expense guidance of $115 million to $130 million, including $9 million of stock-based compensation. R&D expenses are expected to be between $5 million to $10 million based on the closeout of our MSW open label trial. We expect SG&A expenses to be within a range of $110 million to $120 million. Maintaining this guidance reflects our investment to accelerate the growth of GOCOVRI. Cash and investments as of June 30, 2021 were approximately $118.3 million with net operating cash burn for the quarter of $9.2 million. Achieving this level of net operating cash burn is a key metric, reflecting the momentum of our revenue growth coupled with our disciplined investment. This is an important marker of our progress as we execute on our long-term strategic plan. This concludes our prepared remarks. With that I will now open the line for questions. Operator?
Operator: Thank you. . One moment please we pull for your questions. Our first question comes from the line of Jason Butler with JMP Securities. Please proceed with your question.
Jason Butler: Hi, thanks for taking the questions and congrats on the progress. I guess just a couple on GOCOVRI. Can you speak to the recent dynamics on patients returning to the clinics and what you've seen post the end of the quarter into July and August. And is that having any impact on the NRx? And then I guess -- sorry if I missed this, but given the success of the OFF launch, can you give us a breakdown of what proportion of the NRx for the quarter are coming from OFF versus dyskinesia or both? And I know it might be hard to break down but just give a sense of what proportion of the growth is being driven by the authentication? Thanks.
Neil McFarlane: Hi, Jason, thanks for the question. This is Neil and I'll hand it off to Vijay in a moment. But let me start by saying how proud I am of the strong demand momentum. We leave Q2 with 97% year-over-year growth in our NRx number to 730. But I think as importantly 24% quarter-over-quarter growth from Q1 to Q2. Let me ask Vijay to touch on the recent dynamics in terms of patience and some of the OFF launch being on track? Vijay?
Vijay Shreedhar: Yes, thanks, Jason. I would say that the situation remains fluid and dynamic and complex. We have seen some return of patients to clinics, as evidenced by our year-over-year trends. But based on the 17% decline that we see in the claims data for carbidopa/levodopa, it is obvious that all patients are still not back in doctor's offices. And we're still in a relatively challenging situation, which is why our performance in Q2 is really so strong and remarkable. So we do need to see those carbidopa/levodopa scripts come back to growth. In the meantime, we're leaning in on tactics to get as fast of growth as possible. To your second question, in the OFF launch, we're pleased to see that we have a mix of patients with OFF dyskinesia or both. The fact is that we see the majority of those scripts coming in dyskinesia, which is not surprising given that we're in the first full quarter of launch of the OFF episodes. But the fact that we're getting the mix across the spectrum shows us we're making progress towards changing the paradigm of care.
Jason Butler: Okay, that's great. And then, Neil, just a quick one on 4,101. Can you give us a sense of what potential partners have been looking for and specifically to what degree the new IP here could be a catalyst in your discussions? Thanks.
Neil McFarlane: Sure. So I think it's important to note that there's such an incredibly  need here, right in the epilepsy market. And not a lot of us are there are quite a few products that are out there being developed, but not a lot of products out there that are in late stage. So we have a Phase 3 ready asset, we've started to get the intellectual property issues and that's really been what we have been working with potential partners on the path forward and the ability to be able to get this product to  patients that have an unmet need  from the quarter. Thanks, Jason.
Operator: Thank you. Our next question comes from the line of Tim Lugo with William Blair. Please proceed with your questions.
Unidentified Analyst: Hey, guys, this is  on for Tim. Thanks for taking the questions. I guess two if I can. First of all, on the addition of the alternative packages for GOCOVRI. What was the rationale behind that? Is that address  things vulnerabilities, you are seeing? Are you expecting to need the additional capacity for future growth within you -- in terms of the OSMOLEX ER pilot launch? Can you just outline sort of what you'll be looking at to determine if you want to continue the program? I mean, is that going to be based on sales or script volume or more qualitative feedback from the market?
Neil McFarlane: Thank you, Lachlan. And to answer your first question. Let me start there in terms of our ability to get a second and alternative packager. Having single source manufacturing is not something that as we lean into the growth trajectory that GOCOVRI is showing with the strong demand that we've shown in the last number of quarters, that we want to have a single source. So as part of our long-term growth strategy, we implemented, a year or two ago that we needed to be able to have duplicative manufacturing capacity. And this was one of the reasons why we did that. So Vijay, do you want to talk a little bit about the OSMOLEX next steps in our gated investment plan?
Vijay Shreedhar: Sure, Neil, thanks for the question. Lachlan, I would say that for OSMOLEX, it is important to remember we are primarily focused on GOCOVRI here and fully living up to the potential that GOCOVRI has to change the paradigm of care in Parkinson's disease. With OSMOLEX, we have a very disciplined gated investment plan in psychiatry. And we -- the volume of what the product is, as has been relatively minimal. And we are encouraged by the market research that tells us that there's opportunity for an extended release product in that space. And so we are in the early stages of launch, and we'll keep you updated.
Unidentified Analyst: Okay, thanks.
Operator: Thank you. Our next question comes from the line of Ken Cacciatore with Cowen. Please proceed with your questions.
Ken Cacciatore: Hey Neil and team, congratulations on all the progress, Neil, as I listened to you, and your enthusiasm always really comes through I think about and listen to your commentary on DTC. And as I step back, you think about GOCOVRI where it is, it's a broadly covered drugs or not having any managed care issues. It's been on the market a sufficient amount of time that it's lead indication, and now we have OFF it’s a known molecule to the clinician. So I'm just wondering, why aren't we pushing the advantage even more aggressively through DTC it would be my belief that not only would you be activating patients, but even activating clinicians in a general sense to make them even more aware about the product that it's there and kind of activate them, in addition to pushing the patients in understanding the commentary about the market dynamics now. So I'm just trying to understand why we don't get even more aggressive and wanted to hear a little bit more about the metrics that you're getting from your kind of initial DTC? Thanks a lot.
Neil McFarlane: Okay. Thanks, Ken. My enthusiasm comes from the fact that GOCOVRI has such a large opportunity and the team here has continued to drive strong demand and executing this fluid environment. So they're the reason why I'm so motivated. And maybe I'll ask Vijay to talk a little bit about some of the efforts that are multi-channel marketing that we're doing.
Vijay Shreedhar: Hey, Ken totally appreciate the question in terms of DTC. This is something that we've looked at carefully, and we're choosing to do it in a very efficient manner. And we're going after pockets of patients that we know, exist in certain social media platforms. And we've done our research in terms of how to most effectively reach those patient groups. And our lifetime access TV segment was one example of how we're unlocking that opportunity in a very efficient manner by going with a media platform, which we know will reach the right audience at the right time. And then we're taking and repurposing those assets through our multimedia channels in order to get the content out there as efficiently as possible. And we're tracking metrics such as engagement in our websites, in our -- on our digital assets, downloads of materials that we have out there, how many patients are watching the videos, and so on and so forth. There is a variety of metrics that we're tracking, all of which are positive. So we're very excited that it's working so far. And we plan to continue to keep these efforts up.
Ken Cacciatore: Thanks so much.
Operator: Thank you. Our next question comes from the line of Marc Goodman with SVB Leerink. Please proceed with your questions.
Marc Goodman: Hi, a couple questions. First, on your payer discussions, as we move into next year, can you give us a sense of whether everything is going to be stable or whether we're going to have some improvements and revisiting some contracting? And just curious how that's worth tracking? Just curious how that's working out? Second is, given how successful everything is going? I'm just curious, Neil, if we've moved forward on business development a little bit if there's anything else going on, kind of behind the scenes? And third, just remind us, how much are we spending on OSMOLEX, just from an advertising promotion support? Is there really anything being spent right now? And what's your plans going forward? Thanks.
Neil McFarlane: Thanks for the questions Mark. Why don't I start with your middle question in regard to business development? Then I'll ask Vijay and then Chris, to answer some of the more detailed questions. I think it is an important to note that our focus is on the growth of GOCOVRI, we have a large opportunity that are OFF indication, that's just doubled our addressable market, to 400,000 to 500,000 patients, the demand that we've seen is great. But there's a long way for us to go. So I think that it's important that we continue to focus on GOCOVRI, we also focus on the integration of OSMOLEX in the drug induced EPR. That being said, we have a very efficient late-stage development team that's just finalized a very strong MSW program and finalize the long-term safety study there. And we have a commercial organization that is also really clicking in regards to the execution that they're able to do in this very fluid and dynamic environment we're in. So we're actively evaluating both internal and external opportunities, and finding ways to leverage our infrastructure because delivering value is our top priority. Vijay you want to hit on some of the payer discussions?
Vijay Shreedhar: Sure, Mark. As you know, we are committed to broad access and affordability for GOCOVRI. And we are actively engaging in conversations with payers focused on the clinical and health economic value of the product. Because we honestly believe that with a differentiated profile, GOCOVRI has that opportunity to bring about a paradigm shift. And we're getting good engagement in terms of these conversations that we've had with payers. In that context, it is even more important to remember that as a specialty medication, we do see a high rate of payer approval through our prior authorization process. The OFF launch is being paid for as well with those scripts. And we're seeing a 93% approval rate and 75% of patients Medicare or commercial combined, have an under $25 out of pocket costs. So the signs are good, but we're still working on it. And stay tuned.
Chris Prentiss: From an OSMOLEX perspective. From a macro sense, our SG&A expense guidance for 2021 is really in line with what we spent in the prior year in 2020. So it's specifically we have a very small, targeted tele detail sales team that's focused on OSMOLEX. And we'll continue to evaluate as the year goes on and determine if we need to make further investments at that point in time.
Marc Goodman: Thanks.
Operator: Thank you. Our next question comes from the line of David Amsellem with Piper Sandler. Please proceed with your question. Mr. Amsellem, can you check to see if your line is unmute please? Thank you. Our next question comes from the line of Ram Selvaraju with H.C. Wainwright. Please proceed with your question.
Unidentified Analyst: Hi, this is  for Ram. Thanks for taking our questions and congrats on the quarter. So just regarding your published paper in June of this year, which revealed, GOCOVRI may be impacting gate freezing. Is this something that you've propagated in your marketing and education efforts? And if not, do you plan on doing so?
Chris Prentiss: Thanks . We're glad that you asked us a question that we can hand off to Adrian, but he might need some additional clarity in regards to which papers because we've had a number of papers published in the last couple of months.
Unidentified Analyst: So this was the second one which showed that GOCOVRI may be impacting gate freezing on the MDS  Part 2, for this was the post hoc analysis.
Chris Prentiss: Great.Adrian?
Adrian Quartel: Yes, thanks for the question. So this is the house of papers published in June this year, but perform the sub analysis on the MDS  Part 2, which is really focuses on the motor complications that patients have heard of the parkinsonism issues that patients have, who have Parkinson's disease and the effects of GOCOVRI on that. As part of that scale that has the use gate freezing is indeed one of the 13 questions that patients can answer. And we saw a statistically significant improvement in gate freezing those patients. And overall of the 13 sub issues addressed by this MDS  score 12 were improved in top of those subscales patients are the property improved compared to placebo? I'll hand it over.
Neil McFarlane: Yes, I think your next question was with are we able to promote that? And we promote based on our label and that's not currently in our label?
Unidentified Analyst: Okay, fantastic. Makes sense. And then just finally, this may be a Neil question. But is there any scope to draw on historical OSMOLEX ER trial data to perform, a similar kind of post hoc analysis, as you've done with GOCOVRI? And would this be of any value?
Neil McFarlane: Great question . So I think we mentioned that our Q1 call, as we finalize the acquisition of the product, that it is our intent to get the data from the Phase 3 trials out, Adrian is working diligently with his team and the investigators to do just that. So I think there is opportunity for us to learn from the data. And there's opportunity for us to make sure that we lean in to ensuring the continued differentiation of the two products between GOCOVRI and OSMOLEX. Stay tuned.
Unidentified Analyst: Excellent. Congrats on the quarter.
Neil McFarlane: Thank you very much.
Operator: Thank you. Our next question comes from the line of David Amsellem with Piper Sandler. Please proceed with your question.
David Amsellem: Hey, thanks for fitting me in. And sorry about that. So just real quick, on the OFF time indication, and I apologize if I missed this. But, over time, it seems like you're accessing. I mean, it doesn't seem that I think it's you've confirmed this that that you're accessing a wider Parkinson's population. So, I guess with that in mind, should we think about any expansion of the commercial infrastructure over the long-term? And I know you address business development. But maybe as a sort of corollary to that topic, what's your appetite for taking on any R&D risk to the extent that you are to buy an asset? Thanks.
Neil McFarlane: Thanks, David. Let me let me ask Vijay to touch on the first question in regards to the OFF indication. And we definitely are accessing a wider market opportunity, right? We went from 200,000 patients with dyskinesia and OFF to an additional 200,000 to 300,000 patients with OFF which gives us 400,000 to 500,000 patients now. So I think that -- we are definitely seeing this large opportunity and wider patient population to try and to provide the opportunity for GOCOVRI. Vijay will you talk a little more about OFF indication question.
Vijay Shreedhar: Sure, Neil. Thanks for the question David. I would say it's important to keep in mind that while the population of patients has expanded, it is a very highly concentrated marketplace with these patients being treated by the same physicians, we were targeting with the dyskinesia launch. So we believe that we are right size with our sales force, and we are intensifying our efforts to provide coverage through a multimedia digital campaign. And we believe that is sufficient to get the opportunity efficiently.
Neil McFarlane: So David, and  question and the appetites are at risk, I think it's really important to deliver invaluable our top priority. And our largest opportunity to deliver value today is being able to continue to execute on our OFF launch, and drive the foundation for what we can do in the future. There's also the element that I spoke about briefly, in the prior question around the ability to leverage our infrastructure. We've proven that we can do late-stage neurology development in the MS Multiple Sclerosis phase, we've proven that we can get additional lifecycle completed with our SNDA for the OFF episodes indication. And we're now proving that we can commercialize drugs in a very complex environment and drive strong demand momentum. I think as part of that, we need to also figure out in the long-term based on our current strength of our foundation, how we leverage our infrastructure and build value over time. So today, our value driver is GOCOVRI and launching it into this wider, larger opportunity and the future we need to find a way to leverage our expertise in the infrastructure that we have.
David Amsellem: Great. Thanks, Neil.
Neil McFarlane: Take care. Good to talk to you.
Operator: Thank you. We have reached the end of our question and answer session. I would like to turn the call back over to Mr. McFarlane for any closing remarks.
Neil McFarlane: Thank you, Michelle. And, and thanks for everybody for joining us. I'm super proud of what we've accomplished through the first half of 2021 and encouraged about the opportunities ahead of us. So I appreciate your time today. I look forward to updating you on future calls. Have a great day
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation. And have a wonderful day.